Operator: Good Day and welcome to the Globant Third Quarter 2016 Earnings Conference Call. All participants will be in listen-only mode. After today's presentation there will be an opportunity to ask questions. [Operator Instructions] Please note this is being recorded. I would now like to turn the conference over to Juan Urthiague, Investor Relations Officer. Please go ahead, sir.
Juan Urthiague: Thank you, operator, and thank you all for joining us on our call to review our 2016 third quarter financial results. By now you should have received a copy of the earnings release. If you have not, a copy is available on our website investors.globant.com. Our speakers today are Martin Migoya, Globant's CEO, and Alejandro Scannapieco, Globant's CFO. Before we begin I would like to remind you that some of the comments on our call today may be deemed forward-looking statements. This includes our business and financial outlook and the answers to some of your questions. Such statements are subject to the risks and uncertainties as described in the Company's earnings release and other filings with the SEC. Please note that we follow IFRS accounting rules in our financial statements. During our call today we will report non-IFRS, or adjusted measures, which is how we track performance internally and the easiest way to compare Globant to other peers in the industry. You will find a reconciliation of IFRS and non-IFRS measures at the end of the press release we published in our investor relations website announcing this quarter's results. I'd like to turn the call over to Martin Migoya, our CEO.
Martin Migoya: Thank you, Juan. Good afternoon, everybody, and thanks for joining us today. I'm pleased to be here to review our Q3 2016 business and financial performance. During Q3 we delivered another solid performance. Our revenues for the third quarter increased 22.7% year-over-year to a new record level of $82.4 million. We now have 61 accounts, over $1 million in annual revenues, compared to 51 for 2015. Later during the call, Alejandro will share more details on our financial performance. We continue to see strong demand for Digital Journey throughout the world. As IDC points out, in their recent report, digital transformation is a key driver in the worldwide service market and success required that business and IT work together towards shared goals. This study highlights the bundling with service experience with highly skilled strategies in today's marketplace will be a choice made by both business and our key buyers looking for new ideas, added skills, and critical velocity in accomplishing the goals of the transformation journey. Enterprises across all industries are investing heavily to face competition coming from digital native companies. CEOs and board of directors have the mandate to transform their companies into digital. This creates an amazing long-term market opportunity for Globant. As we are considered a leader in digital movement and having a DNA centered around emerging technologies. To show this growth trend, let me now go over some of the latest business news. On November third, we held our annual executive gathering in San Francisco called ConVerge. This event aims to bring together all our customers and network to gain insights over different trends and discussions about digital transformation. During the day we listened to speakers from organizations like DreamWorks, Fandango, LATAM Airlines, BBVA, Airbus, HSBC and NASA. They shared their experiences in rating their business to cover challenges. This has been key for our company. It allows us to share a unique moment with our customers getting to know more about their needs and share with them our views. Let me go over some of the ideas we discussed during ConVerge. It is a volcano-like explosion of new technologies and new way to connect with consumers starting to arise. It is a way that is not driven by pushing messages or just transacting online with users. It is about making them become part of the digital journey that starts long before the consumers needs to transact with the brand. This journey is relevant in every touch point and creates an emotional connection with them. We are talking about building memorable experiences. For us this is a new way to interact with users and it is what we call Digital Journey. We have created a novel approach on how to build this digital journey in a more effective and précised way. The first step is to stay relevant. We work to provide helpful information and initiatives to understand the customers' environment, competitor and user behavior. Secondly, in order to build the journey I'd like to introduce a new concept called Build to Discover. This concept is based on a new way of conducting digital transformation by doing it in a more successful way. Our initial belief in embarking on a digital transformation program let us start with an inevitable long discovery session and once this session is completed the engaging moves into the construction phase. But we have learned from experience that what is discovering this initial session can change dramatically when the program starts to grow and released to consumers. We know that the real discover happened along the way and during the construction. It is in this phase when having a team that can execute a continued discovery process is ultimately much more viable than trying to focus discover only at the beginning of the project. This idea yields a different part composition [ph] than we normally would have thought and it also brings the benefit of being able to branch out different initiatives as we build the initial project and try much more viable digital transformation. A very short initial workshop at the beginning followed by a very quick set up of the right Build to Discover port can make a huge difference. In other words it is a concept based on digital transforming by doing. It is not just discovering on the beginning, but it is discovering on the making. The process relies on learning and adapting as we build the experience and the two activities are closely interrelated. To deliver these digital journeys in a more effective way, we have launched a new type of engagement for our customers called Digital Transformation Centers. These centers enable us to deliver the complete cycle of the Digital Journey in an effective way. We based this initiative from what we learned throughout our experience working with top companies around the world. With this we build dedicated teams to encompass all the digital capabilities needed for a successful digital transformation. These offices are closed environments where discovery, UX, design, big and fast data, seamless integration and backend work together in sync. We build both according to the customer needs and follow maturity process to create the different products that will enable the journey. The centers bundle this capability dedicated to customers creating the necessary connection between business, product, and technology. The teams work in a dedicated way for a specific customer but share Globant's culture of innovation and benefit from our processes and creative initiatives. These centers represent the ultimate way to foster digital transformation. Another important trend to highlight is a concept that comes to change how we conceive a successful digital transformation. It is what we call omnirelevant and we talked about that during ConVerge. Let me explain it shortly. We all understand the concept of omnichannel. It is a simple concept that involves having the same experience no matter what touch point the consumer is using. It implies the idea that you can start a transaction in one touch point and then continue it on the next one having a smooth and continuous experience across the whole connection. We consider that being omnichannel is not enough. We believe that is a very basic characteristic that any digital journey should have. Instead we think that a digital journey should be omnirelevant. On top of being an omnichannel we need an experience that is relevant to the environment and the moment of every transaction. An omnirelevant approach means that experience should be first, continuous. Companies should understand the whole flow of interaction with the user from awareness to advocacy going through transaction. Second consistent the quality of experience should be the same in every moment of the journey as the customer expects only one brand to interact with them. Third, omnichannel within each motion of the journey brands have to enable the channel and touch point that is more relevant to the context in which a customer is leveraging. And fourth, relevant, companies must gather all the information about user behavior to create meaningful moments of surprise. This will drive identification of new opportunities for relevant services and products. The main objective is to stop thinking about channels and start thinking about journeys because omnichannel creates silos while omnirelevance creates clarity, emotional connections, hence it humanized technology. The success of our strategy is reflected in new engagements coming from existing customers that want to reinforce their presence in the digital arena. In this sense, let me mention some interesting projects we are working on. We have been working with Warner Bros Games in San Francisco in the design and the implementation of their VDM platform and their DC Legends game. The VDM [ph] platform is a set of services designed to get type of network connected with minimal effort and provides the game developers a new level or facility that is vital for them as they navigate the ever more complicated world of devices, markets and business models for the games. We continue to help one of the leading financial institutions in the U.S. with their digital transformation for their online banking applications, both for retail and wholesale consumers. On top of that we are working to modernize the platform used by bankers across all their retail branches. We are working closely with the largest American Sport Association to capture data and insights for fans at live events in Spain, Mexico, and Brazil. In 2017 we plan to continue a deeper dive into key global markets while performing an in-depth behavioral analysis study of the core sport fans in the U.S. During Q3 we also added several new logos to our portfolio such as one of the leading global healthcare companies, a leading videogame company, and a leading company in travel and leisure industry. All of them are partnering with us to build their digital journey. Within our services our platform offering we are also seeing continuous growth. With several new customers within our Star Me Up platform one example to mention is the script network and within I AM AT where we added Turner [ph]. We expect this trend to keep growing in the months to come. Now let me share with you some other important investments that we are focusing on. Since Globant was founded it has seen a very strong growth. This growth means that the organization, the teams and the challenges evolve. So the structure and alignment needs to evolve as well. To accompany this growth a few months ago we introduced a new model that will guide our organization and will be the cornerstone of our services paradigm. The new model is called 50 Square [ph] and it intends to reshape our go-to-market strategy to scale our company in the coming years. The main goal of this new approach is to focus our team on the top 50 high potential accounts that have the capacity to grow exponentially over time. To do so we have appointed some of our most senior people from sales, technology and operations to lead these teams and take our company to the next level. This account focus has been the most important pillar of our go-to-market strategy and every account within Globant now has a goal to become part of this program. Since the program started, we have seen very positive trends in these accounts showing a much larger pipeline. We believe that this approach will be key to foster our growth. Let me share some notes in regards to our global presence. We continue our expansion in our delivery centers in Latin America and India. At the same time we have recently expanded our offices in San Francisco with a completely renovated playground. This center aims to expand our presence in the U.S. and create a unique space for innovation. The office is prepared to offer our customers a place to come, try and play with newer technologies such as mutual reality, wearables and Internet of Things. The goal is to help them to get inspired for their future challenges. We are also making investments in our management team. We are pleased to announce that John Raveret, former Senior Vice President of Corporate Development at Cognizant will be joining Globant as of December. He will become our EVP of Strategy leading various strategy initiatives and business units. He has almost two decades of experience building Cognizant from its IPO makes him extremity viable player for our company. We are really happy to have him on board. He will be a key contributor in our drive to build out our global presence and brand. Continuing with our plans to expand our footprint in our key markets we are glad to announce acquisition of L4, a leading digital services company that creates innovative experiences. L4 is a US-based organization with headquarters in Seattle focused on building complex software that engaged people across every screen. The company has a team of 65 professionals including some of the best mobile and media minds in the industry. Today they work for a wide list of recognized brands such as Sesame Workshop, Chicago Public Media, and Sony Pictures Television among others. This acquisition will help us to be even closer to our customers. The company has profound knowledge in the media entertainment sector. Its unique blend of multiplatform experience with a focus on quality assurance sets L4 apart from many other digital services companies. We found in L4 a group of people that shares our same passion for building the best experiences for our consumers, so we are really excited to have them on board. We are confident that this acquisition will allow us to reinforce our position as leaders in the digital services space. Lastly, let me give a brief outlook on how we see the current business environment. Our pipe and remains stronger than ever and there's plenty of opportunities and space to grow by working on digital transformation. However, we are seeing the U.S. market a little bit softer expressed in some delays on project starts. This may be reflected in some of the uncertainty around elections. We believe that this environment could change with the elections now finished, but still some of these could be extended for some months until the new government takes power. Independently, on this environment and as we mentioned, our pipeline and backlog remains strong. We are currently having conversations with high potential customers that could translate into large business opportunities for next year. As such we remain optimistic about our ability to grow fast in the future. With that, I will turn the call over to Alejandro Scannapieco, our CFO for a detailed financial review on Q3 and to provide guidance for Q4 and full year 2016. Ale please? Thank you very much.
Alejandro Scannapieco: Thanks Martin and good afternoon everyone. I am going to spend a few minutes discussing our Q3 financial performance and then I will provide guidance for Q4 on the rest of the year. I'm pleased to announce another solid financial performance for the third quarter of 2016. Our revenues closed at a new record level of $82.4 million 22.7% increase relatively to the third quarter of last year and 3% over Q2 2016. During Q3 2016 Southwest Airlines continued to be our number one customer. It is important to mention that Disney, as expected, grew sequentially for the first time this year. High potential accounts are scaling up aligned with the recently launched 50 square processes. Revenues for customers 2 to 10 increased 37.9% over the third quarter of 2016 and 3.1% sequentially. Revenues for customers 11 and beyond increased 20.4% over the third quarter of 2016 and 2.2% sequentially. As pointed by Martin, our 50 square strategy aims to have a diversified base of multi-million dollar accounts and so far is working out in line with our expectations. Our vertical diversifications remain valid across the difference industries. We continue to target specific accounts to add into our portfolio. As mentioned by Martin, during Q3 we added some new high potential accounts from various industries and regions. For the third quarter of 2016 our top-one customer represented 10.4% of total revenues, top-five customers represented 33.9% and top-10 customers represented 46.8% of revenues compared to 13.4%, 33.2% and 45.9% of revenues respectively for the third quarter of 2016. We continue to be well diversified in terms of customers and industries with an increasing number of multimillion dollar accounts. Compared to the third quarter of 2015 our total revenue for the top-five customers increased 25.1% to $5.6 million and average revenue per top-10 customer increased 25.4% to $3.9 million. During the third quarter of 2016 81.4% of our customers were in North America. The U.S. is our top country. 9.4% in Latin American and others, Chile our top country, and 9.2% were in Europe, UK as the top country. Europe is currently growing faster than the rest of the world for Globant. Our top three industry verticals for this quarter were media and entertainment with 20.6% of revenues, travel and hospitality with 20.2% of revenues, and banks, financial services and insurance were 19% of revenues. We remain very well diversified across different verticals. During the third quarter of 2016, 89.7% of our revenues were denominated in U.S. dollars protecting our topline against currency fluctuations. During the least 12 months, we rendered services to 354 customers and we now have 61 customers with annual revenues in excess of $1 million compared to 47 one year ago. We finished the quarter with 5421 Globers, 4983 of which were IT professionals. Attrition in the last 12 months ended September 30, 2016 amounted to 19.4% compared to 18.4% as of September 2016 and 18.9% for the last quarter. This slight increase in attrition is primarily driven by our development centers in Argentina. We expect the new economic policies in the country eventually reduce uncertainties and that contributes for a more stable gov [ph] environment. Turning now to profitability, we are seeing significant improvements compared to 2015. Our adjusted gross profit for the period increased to $34.2 million, 41.5% adjusted gross margin compared to $26.2 million, 39% adjusted gross margin in the third quarter of 2015. The increase in adjusted gross margin was primarily driven by higher revenue per share combine the normalization of FX market in Argentina during last December when the new government came to power. SG&A decreased 290 basis points compared to Q3 2015. This impressive year-over-year dilution contributed further to our operating margin expansion. Our adjusted operating income for the quarter also showed several vast improvements relatively to 2015. These amounted to $12.8 million, or 15.5% of revenues compared to $6.9 million, or 10.2% for the third quarter of 2015 a growth of 85% year-over-year. Financial income and expense net amounted to a profit of $0.2 million. This net result is composed of FX gains and losses resulting resulting from monitory assets on liabilities in local currencies and interest income. Our effective tax rate for the quarter was 23.2% in line with the previous quarter. Adjusted net income for the third quarter of the year totaled $10.5 million, 12.8% adjusted net income margin an increase of $1.4 million or 15.3% compared to the third quarter of 2015. Adjusted diluted EPS for the quarter was $0.30 based on $35.5 million average diluted shares for the quarter increasing from $0.26 a year ago. 2015 EPS had a positive influence of the gain on transaction win loss [ph]. Moving on to the balance sheet, our cash and investments as of September 30, 2016 amounted to $54.5 million compared to $62.4 million as of December 31, 2015 and borrowings decreased to only $0.3 million. The decrease in cash and equivalents is primarily explained by CapEx and M&A activities. Our balance sheet remains strong with current assets of $130.2 million accounting for 49.6% of the company’s equity. Total shares outstanding as of September 30, 2016 were 34.5 million common shares. Now let’s talk about the nine months ended September 30, 2016. Revenue from nine months ended September 30, 2016 amounted to $235.6 million implying a robust 29.3% year-over-year growth. The growth was primarily driven by our top customers and some new customer wins as we continued to execute in our 50 square strategy. Adjusted gross profit for the nine months period was very strong. At $101.3 million, 43% adjusted gross margin compared to $70.6 million, 38.8% adjusted gross margin for the same period of the last year. Compared to 2015 we continued to perform significantly better with the combination of the higher revenue per check and normalization of the FX market in Argentina. On a sequential basis, FX appreciation in some of our delivery locations and investments related to our 50 square project have slightly impacted our margins down. Adjusted SG&A showing account dilution of 350 basis points year-over-years currently accounting for 22.3% of our revenues for the nine months ended September 30, 2016. We have been very disciplined in managing our cost more efficiently to gain dilution. Adjusted net income for the nine months period ended September 30, 2016 was $29.1 million, 12.4% adjusted profit margin. Adjusted diluted EPS for the same period was $0.82 based on $35.3 million average diluted shares. To wrap up I would like to share with you our outlook for the rest of 2016. Let me start with the demand environment and the implication for our revenues. The market opportunity remains intact. We are delighted our business coming back as we expected and there is a clear and sustainable need for digital transformation process that Globant is extremely well positioned to satisfy. We continue to be bullish despite the previously mentioned delay to our seen in the back the decision process of some companies. As played out by Martin, we attribute most of those delays to the uncertainties related to the U.S. Presidential elections and the Brexit. We need to observe how these evolve in the next few months. With regards to our margins we continued to invest in the company not only to enhance our capabilities, our own merchant technologies, but also to implement our 50 square strategy. Additionally the continuity of FX volatility around the globe, but primarily in Argentina, Columbia and Uruguay is having an impact on our cost. For the next quarters and given the current FX scenario we expect some slight reductions in gross margin. We will continue managing very carefully our SG&A expenses to gain additional dilution or to offset potential fees from gross margin. Finally, effective tax rates will continued to normalize in the 24, 27% range, most likely near the bottom of that range as the indication in the past two quarters, Now let me provide you with our guidance for the rest of the year. Based on current visibility we’re now updating our revenue guidance for 2016 to a range of $320 million and $322 million and implies 26.5% year-over-year revenue growth at the midpoint of the range. Implied guidance for Q4, 2016 could be revenue within the $84.5 million and $86.5 million range. In terms of EPS, last quarter we guided 1.14, 1.20 for the full year 2016. By giving the previously mentioned headwinds coming from FX volatility in Latin America and some new investments that we decided on our 50 square program, we may be closer to the bottom of that range or even slightly below. As such, we are providing a new range of 1.12 to 1.15 assuming 35.4 million average diluted shares outstanding for the full year. The full year guidance implies an adjusted diluted EPS for Q4 in the range of $0.30 to $0.33 assuming 35.7 million average diluted shares outstanding for the quarter. Thanks everyone for participating on the call and for your confidence and support. Let's please now move to the Q&A section of the call. Operator, can you please queue questions? Thank you.
Operator: Thank you, sir. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Ryan Potter with Citi. Please go ahead.
Ashwin Shirvaikar: Hi actually this is Ashwin. So my question is on 50 square which seems the formal vending of the growth initiatives you had for some quarters. The question is, how many of the 61 active clients are on that list and have you seen the benefit of this to increase project size? Also if you can breakout the lower EPS, how much of that was FX and how much of the extra investment in 50 square?
Martin Migoya: Hey Ashwin, how are you, thank you very much for your question, this is Martin.
Ashwin Shirvaikar: Hi Martin.
Martin Migoya: On the first question the program, I mean is not fully completed yet. We don’t have the 50 accounts yet but we are moving very close to that. So we are I would say in very good shape with implementation of the program and it is starting to kicking in based on some metrics we have on the pipeline and I'm - by saying that pipeline on those specific accounts has started to grow faster than before and faster than other accounts. So that is the part – that is very good news in terms of that. So I think it will start to kick in during the next few quarters in a much more stronger way, but still the program needs I would say at least 10 or 12 accounts more to be completed. And then the other question Alejandro? Ashwin do you want to repeat the question?
Alejandro Scannapieco: What was the question in terms of the split Ashwin?
Ashwin Shirvaikar: Yes, so you have roughly I think $0.05, $0.06 lower guidance and how do you split that investment between, how do you split that between the investments you are making in 50 square versus the effect of FX?
Alejandro Scannapieco: No, I would say this, the big chunk of that is coming from 50 Square. I mean and is the result of investment that we have been doing in all those accounts, keep in mind that many of the 50 Square accounts are already customers of Globant and customers that we have been forming and we have been investing. So a big part of that is 50 Square, there is also the headwinds that is coming from currencies in Latin America. That trend seems to be changing now after the elections in U.S. but what has happened actually in Q3 is that there was actually headwinds from many of the currencies in Latin America for us, kind of even bigger.
Ashwin Shirvaikar: Okay, okay. And I guess last question would be with regards to the level of investments that you are making in 50 Square, I would imagine as the clients grow, you can scale that out, but is this would you call it an investment that stays with us for the next couple of quarters, full year 2017 or how long of an investment is it?
Alejandro Scannapieco: No that is definitely this is a long-term investment. As you said Ashwin, it is pretty much related to technology, assembling the right people into those accounts, investing in the products that we're building for those accounts, so it is a combination of many different factors, but definitely these are long-term charts. So our planning to continue investing in those account, the plan that we have laid out at the very beginning, it is a plan that exists even in 2017, so it is getting also into 2018. So it is a long-term plan of the investment in those accounts. That doesn’t necessarily mean that we are going to be lowering margins. It means that we will keep investing in those accounts that is where deeper penetrating those relationships and it is pretty much aligned to our growth program for the next five years.
Ashwin Shirvaikar: Got it, thank you.
Operator: The next question comes from Tien Tsin Huang with JPMorgan. Please go ahead.
Tien Tsin Huang: Thank you, good afternoon. Just following up on Ashwin's question, just a return on investment on 50 Square does it make sense to hear the investments, but do you feel good about you have potential accounts breaking through, for example in 2017 could we see some new high potential accounts breakthrough maybe into the top 10, given what you have seen about the topline?
Martin Migoya: Yes Ashwin, hey how are you, this is Martin.
Tien Tsin Huang: Martin this is Tien Tsin.
Martin Migoya: Sorry Tien Tsin. Sorry.
Tien Tsin Huang: No problem.
Martin Migoya: As I said, I'm already seeing some increase on the pipeline that is connected to the 50 Square effort. I think it's very interesting to see how the dynamics of the teams that are dedicated to those accounts are playing. It is very interesting to see how much deeper the relationships became. So it won't surprise me if we have more accounts during 2017 coming into this program and making it happen. And as I said it still is not finished. I am not expecting to keep on investing more and more money on that, this is what we are investing now. So I want to be very clear on that. But I foresee and I think that this will yield great results in terms of margins, in terms of also revenue growth in those accounts, but at the same time we are not losing the idea about generating new accounts and generating new logos. By the way we have a great set of new logos for this quarter also in the hunting [ph] side, so it is a play between those two things and I want to be very clever in how to play the 50 Square game as well in the future. But I hope that answers your question.
Tien Tsin Huang: It has Martin. Thank you. So then for you Ale, just on the gross margin side, as we think about gross margins in the fourth quarter maybe into next year with 50 Square and all the moving pieces you described let me any guidance on the gross margin line specifically?
Alejandro Scannapieco: Well we always talk about a normalized gross margin on the 40%, 42% range and that's actually was happening. We have left behind the Q2 salary increase, but eventually some of the Latin America currencies play against us in Q3. What we have seen lately is pretty much all of them, so it is nicely compared to Colombian Peso, Argentine Peso being flat, so but that trend seems to be changing a little bit. I would say everything is fully baked into our normalized margin that we had embedded into our guidance for Q4 and for the full year.
Tien Tsin Huang: Okay, understood. Thank you.
Operator: The next question comes from Anil Doradla with William Blair. Please go ahead.
Anil Doradla: Hey guys thanks for letting me asking questions, so Martin you talked about 50 Square a couple of questions around that investments, people and technology, could you give an illustrative example of what this investment was and…?
Martin Migoya: Yes, well, basically as you know Avishai, the Anil, sorry, I'm old man with names today. Anil, yes, clear with that. Anil, the fact is that we have for each of those accounts we have like one member on the sales team, one member on the operations team, one member on the technical team, which are like the Vice President and then we have a Managing Director for each of our relationships. So that is investment, it is basically people that is being moved into those places and I think the additional cost generated by that are because of those new people or either people that were in other places of the company that were moved into that specific location. So these are the new costs that we are facing. Maybe all those guys that we are moving that were on the revenue side are now taking care of the relationship of that accounts and margins go little bit down because of that and that is part reflected on the EPS that we were mentioning.
Anil Doradla: Very good. So if I look at this change in personnel, it sounds like it was maybe a change in strategy or it was a strategy that you have embarked upon and when you look at your Top 50 accounts, how many of these are oriented with this new set up or this new model? Are we just started or most of them are over and are you just going to on the 50...?
Martin Migoya: No, no, we have like two different tiers account, we have two different tiers of accounts, we have Tier 1 and Tier 2, Tier 1 are those that represent really something meaningful for Globant in terms of revenues. Tier 2 are those accounts that has a potential but still are not meaningful, not necessary are the Top 50 accounts because sometimes you have very small accounts that have huge potential and are on Tier 2. Right? So it is not that related with Top 50. Sometimes we have, we are in the top 50 accounts that won't that is very difficult to grow, so we are focusing our attention now on high potential accounts that have the future for growth. Is that clear? Have I explained it to you okay? Okay, so...
Anil Doradla: Yes, so just a small clarification?
Martin Migoya: Sure, go ahead.
Anil Doradla: So, is this something that is new to the strategy or this has been in place for some time?
Martin Migoya: No, it is a combination. It is something we started that way at the very beginning when we started to expand the coverage to the point to cover pretty much all accounts we wanted to have right now. As I said we are not done with the 50, but we are close to that. We've started to move people from other places and take some piece on the calls, but that was the idea.
Anil Doradla: Okay, great. Thanks a lot.
Martin Migoya: Thank you very much.
Operator: The next question is from Avishai Kantor with Cowen and Company. Please go ahead.
Avishai Kantor: Yes, hi. It is Avishai. Thank you so much for taking my questions. So my first question is going back to the soft to what you described is a little bit of a soft environment in the U.S., is this related to projects to which were supposed to ramp up during the September or the December quarter or is this related to elongated sales cycles or it is a combination of both?
Alejandro Scannapieco: Well it is a combination, it is some projects for the last quarter, some projects. Mainly, I think everything is related to the uncertainty due to the elections that were producing particularly in the U.S. market. We don’t mentioned anything about the Brexit because we didn’t feel it at the time, but now yes what is like huge wait and see situation from some accounts that will present a delay of some projects, that is why I mentioned that kind of softness. For me now the elections are over and everything will be back into normal, but maybe you know until the new government takes power, new policies whatever happens we don’t know, but maybe it can be extended for a couple of quarters. However, it's a minor thing, it is not just massive thing all across every accounts. So it is something we are seeing that we wanted to mention as Martin did, we increased our revenue guidance for the last quarter, however we are seeing that softness, it could have been better. That is what I'm saying.
Avishai Kantor: Okay. And my next question is on hiring, your rate of hiring of IT professional slowed down pretty significantly in the last two quarters. If you can talk a little bit about that, is there a way to mitigate basically some margin effect which is coming from those the investments?
Martin Migoya: No, as we hello Avishai, as we explained in the past from time-to-time we tend to manage the talent pools and the utilization to protect margins. Keep in mind the last quarter of our last year and the first quarter of this year we hired a number of IT professionals. So now we tended to manage a little bit further the talent pools and the utilization. We also have combined with that we have a higher revenue per – coming I would say both ways from the recent acquisition we are experienced that’s one side of it and also some new businesses that we're getting at better rate. So all combination of the two things plus all the hiring that we had in the last quarter of last year and the first quarter of this year combined also with the talent management, what we call the talents pools like the bench, it is basically training that softness that you see in the hiring.
Avishai Kantor: Great, thank you so much.
Martin Migoya: Thank you.
Operator: The next question comes from Joseph Foresi with Cantor Fitzgerald. Please go ahead.
Joseph Foresi: Hi, I wonder if you had any early thoughts on the annual growth rate of digital for next year and what do you think the biggest challenges to your assumptions and again I’m looking for sort of an industry outlook?
Martin Migoya: I don’t have a guidance yet for next year. We see it in good shape based on our pipeline as I mentioned. I see the demand coming from the coolant customers from new customers. I mean the demand on digital is there. I mean definitely it hasn’t changed a single bit. Demand is there. What I mentioned maybe on the softness at fairly it happen change the single bit demand is there and what I mentioned maybe on the softness has more to do with some decisions, okay let’s take decisions a couple of months or we'll take a decision next month or whatever or after the elections. So, that’s the thing so, there is no, there is not a single element that is telling me that next year will be softer in terms of digital demand.
Joseph Foresi: Okay and then on the softness was this is a particular vertical and was it U.S. centric and did you see any cancelations and it sounded like it was more than one client, I’m just trying to get a sense of where exactly are you seeing it?
Martin Migoya: No, specific place or across some of our customers in different, few amount of customers that was different industry. So, yeah, that’s the approach and yes we’re not seeing as the generalized thing its some softness on some specific customers, there is not any particular industry neither that’s why we took the conclusion that I mentioned is not that is a centre on financial sector or center on any other sector.
Joseph Foresi: Got it and then can you help us understand how you got to know, I guess the acquisition I think it is L4, what capabilities do they have that you’re looking for and is there any client overlap or client concentration there?
Martin Migoya: Not really. I mean they have a main, their main customer to customer we don’t have which is the pretty large customer for them which is very good for us. It could be become 50 square account, the one which is good. Not in terms of size, it's not very big, but it is very, it has very high potential and so in terms of customers there a great customer feed between the two companies in terms of capability. There are people based in the U.S. and particularly in Seattle where they have the head office. We needed, much of our presence there we have already some customers there that now we’ll office to have people there to help us grow our company. They are great at in creating software experiencing on digital transformation, they are really good at that and they have some of the brightest minds in terms of digital and mobile in the market we really not have seen the share a lot of our cultural values that when we did the acquisition of We are Experience and when we did the acquisition of Clarice in India. So I think we were, keep on going in a very continuous and constant way and expanding our growth in the U.S. and our footprint in the U.S. which is extremely important. So we are good at and so for designing and so for experience creations and consumers they have really great mobile products and great set of customers. They also have very interesting capabilities on the quality engineering side. So it is a great fit for us. I mean they are very senior company focused exactly on helping customers go through the digital transformation.
Joseph Foresi: Got it, I am going to sneak one last one in, I think you talked about possible margin expansion in the past, is that something we should still think about? Thanks.
Martin Migoya: Margin expansion meaning, referring to…?
Joseph Foresi: No, not in the currently – over the long term?
Martin Migoya: It will definitely be that way so I think that the combination, even the combination of having more onsite people can definitely be offset by much more balanced cost composition of Globant. We have been expanding in many different places. So we can combine and we can offset some of the increases in on-site personnel, also with a higher revenue per head what we are seeing is the value that is being brought by difficult design by the work that was done by We are Experience a company that we acquired and now is being combining to into our studios is definitely helping us to gain operating expansion, operating margin expansion and also based on dilution. As I said we have been very disciplined in terms of enlarging the scale of the company and trying to be very efficient in the way we manage resources. So the answer is, the short answer is yes, we will continue expanding operating margins.
Joseph Foresi: Okay, thank you.
Martin Migoya: No problem.
Operator: The next question is from Frank Atkins with SunTrust. Please go ahead.
Frank Atkins: Thanks for taking my questions. I wanted to quickly see if I can get an update on headcount by geography I believe you do that yearly but if you could maybe update us on some of the major geographies that would be helpful?
Martin Migoya: Yes, definitely. Argentina now is broadly 51% of the total cash count. So year-over-year it is going down 7 percentage points. Colombia is ready 15%. It has been the fastest growing locations in the past year. India is getting closer to 10%. Mexico is 8%. Uruguay is 8% and U.S. has been growing. It is roughly 7% that is growing but we also we will need to take into account next quarter the acquisition of L4.
Frank Atkins: Okay and that goes into my next question, the headcount numbers don’t include L4 is that correct? And then does revenue guidance contemplate any revenue from L4?
Alejandro Scannapieco: Yes, headcount does not include the headcount of September, it does not include any headcount from L4. As for revenue guidance, keep in mind that we're closing this transaction towards the end of the year, so it is very relevant their revenue base can be coming from there.
Frank Atkins: Okay, and last one from me, can you talk a little bit about the seasonality of SG&A going into 4Q?
Alejandro Scannapieco: Yes, I think it follows, it is set for sales, that can equal an amount within SG&A as it can swing later on different type of hiring and we may have most of those hirings are usually in the U.S. But I would say the rest of G&A you only have some certainly swings in the second quarter and the fourth quarter. Keep in mind that in a couple of countries, in Latin America we have two windows for salary increases being [indiscernible] the largest one. So that creates certain swings in the SG&A usually in the second quarter and in the fourth quarter.
Frank Atkins: All right, great. Thank you very much.
Martin Migoya: No problem.
Alejandro Scannapieco: Well, then, thank you.
Operator: The next question is from Jason Kupferberg with Jefferies. Please go ahead.
Jason Kupferberg: Hey guys, good afternoon. I just wanted to ask a followup on 50 Squared and I heard one of the prior answers crept, it sounded like some relatively senior people in the organization getting moved more towards account management roles as opposed to clients seeing a billable role. So I just wanted to see if heard that right and if so what sort of revenue and/or utilization impact of that should we be thinking about?
Martin Migoya: In terms of utilization, thank you very much for the question. In terms of utilization it doesn’t affect a lot because of just a few people. All right? Which are expensive people of course because as you said it is a multiple people that are being moved from one place into another, so from revenue generating now into management and account concentration. So that's the move that has taken place we don’t see that to keep on going because we're almost done with investments there. Business as Ale said, we see that as a long term investment. We would like to set up the company for the next growth wave and if we want to do you so we need to invest on plans and be able to move the right people into the right places. By the way we are moving some of our best talents into the 50 Square program and that's something that is really remarkable to be able to make in the amount of time that we did it, it is remarkable how we did it and how efficiently we did it.
Jason Kupferberg: Okay, that's helpful. And then just a followup question on L4, I understand it won't materially contribute anything to Q4, but how should we be thinking about kind of an annual revenue run rate for that business as we think about our 2017 models?
Alejandro Scannapieco: Well, we certainly don’t disclose that Jason, but you can do the math, I mean they have 65 people, definitely their revenue per cash is on their own site, so it is better than the average of Globant and we also expect to growth that business as well.
Jason Kupferberg: Yes, yes, okay yes we can make some assumptions around that. And just last question from me is what was the free cash flow in the quarter? Do you have that?
Alejandro Scannapieco: We don’t disclose the free cash flow by quarter. What we can tell you is that it was a good quarter in terms of cash flow generation. We also had the impact of some of the payment for earn-outs and also the acquisition of We Are experience.
Operator: Thank you. Our next question comes from Moshe Katri with Wedbush. Please go ahead.
Moshe Katri: Hey thanks. What was the revenue per billable headcount for the quarter and how much did that increase year-over-year? I think you've said, you indicated that you had an increase.
Alejandro Scannapieco: We are running currently Moshe at $66,000 per year per employee. So you can assume it is growing at 5% year-over-year if you take the last 12 months.
Moshe Katri: Okay, so that's pretty impressive. So can we assume that that trend continues into the calendar year 2017 at this point?
Alejandro Scannapieco: It is hard to tell at this point, it has probably, what I can tell you is that we are definitely making our way with different creative value more on the digital side, more on the discover part of our base. Now you know that we split our work on discover, be right on discover deals and definitely the discovery has got you know, to actually work on this creating of Digital Journey that are being priced at different levels. So I would say we are optimistic in terms of the headroom for pricing increases into next year, but it is hard to predict how that number is going to look like.
Moshe Katri: And you would say that this is going to be an important factor to offset some of the impact that you'll have from the investments that you are talking about right?
Alejandro Scannapieco: It is going to be another bucket. Definitely we're being able to keep up with that margin range that I explained by definitely offsetting with pricing and with some cost allocation whatever investment we are doing in 50 Square and also the headwind that we had from effect in Latin America. So I would that is a combination of all those variables.
Moshe Katri: Yes, understood. And then going back to the project delays do you think this is a kind of a prequel to a longer than usual budget hike looking into next year and so the possibility that we’re going to start the year with budgets being delayed?
Martin Migoya: Well, let’s see how the after election, the aftermath of the elections happen. We connected that to the certain degrees of elections but also that's what some of our customers told us and I don’t see that happening at all, but we will see. There is not a single, as I said there is not a single signal that tells me that the demand is softening at all. The other way around, pipeline into historic high numbers at Globant, but there are some delays on projects and some people are saying, okay we will wait for a couple of months and we’ll wait for next quarter, something like that. But we will see into next year I think, the situation should be like much more relaxed and taken to a new playground.
Moshe Katri: All right and then last question, utilization rate did have an uptick, you did talk about Argentina, if I remember correctly Argentina did have a much higher attrition level versus some of the other regions, can we get some color on that? I think historically in Buenos Aires the attrition was close to 30% did that grow higher than that? Thanks.
Martin Migoya: No, no, no.
Alejandro Scannapieco: No, no, no. Your first question was about utilization or attrition, Moshe?
Moshe Katri: I’m sorry I’m meant attrition, sorry about that.
Alejandro Scannapieco: Okay, so about attribution, definitely it has gone up a little bit. There is I would say probably some pressure on the feel coming from Argentina. It never reached the 30% that you mentioned, but definitely Argentina is running a little bit above the rest of the country. I will say there a couple of elements there, that they were mentioning. First, in terms of inflation, the inflation environment still is a little bit high because of some of the measures that were taken by the government as soon as they took power. But it looks like, looking forward and that’s where we've seen the concentration going down that picture for next year might be somewhat different and I’m more optimistic. On top of that where we have seen lately very healthy devaluation of the currency that now seems to be lining up with what’s happening all over the place after the U.S. elections. So that might be also a positive sign for our margins. but I would say we keep executing our plan to fight attrition and to keep attrition into that reasonable level and definitely that’s decentralizing the talent is growing in many different delivery centers not only in Argentina, but also in the other delivery centers. And then if we have Argentina as a plateau with inflation coming down then definitely that’s going to be translating into a labor market and attrition might go down in Argentina as well.
Moshe Katri: Great, thank you.
Operator: The next question comes from Arvind Ramnani with Pacific Crest Securities. Please go ahead.
Arvind Ramnani: Hi, I just had a couple of questions. You mentioned kind of softness and weakness at some clients because of the elections. Are you kind of specifically calling this out because you saw kind of change in client behaviour that was surprising and is this kind of a temporary slowdown or kind of more from multi quarter trend?
Martin Migoya: No, I think is a temporary slowdown. I think it is absolutely temporary and may be from within the U.S. is not seen in many different ways. From outside U.S. it was very clear that short amount of, consulting is that that is created and we saw it very clear, but in any case I think it is totally, my bet is that it is totally momentary and once the elections finish and with the elections finished now everything should normalize.
Arvind Ramnani: Great. Because we were very impressed with what we heard from your clients at ConVerge and then from attending that conference it looks like clients are suddenly charged, but can you help us understand, when you have these kind of client events, are they tangible benefits you will go back and regroup and figure out this is what we need to do to drive growth or it has helped reshape your strategy or vision, like what do you all typically doing the one week after ConVerse in terms of kind of running the business or going and doing customer followups to sell – to kind of sell more work or do you all really not do anything of that post this client event?
Martin Migoya: Yes look, I mean, we are all sales people here, so we know how to leverage those events and we had as you saw the purchase of really great people like Globant, HSBC and people from BBVA, also people from Fandango, from NASA, from many other either customers or potential customers on all of them were talking about either digital transformation center or how to make it build through discover proposal or talking about only relevant experiences or talking about how to digitally transform some of the processes or some of the business that they have. So I think what is extremely positive and it's a kind of events that are very special for us because all our customers or some of our customers get together, we share, they all share experiences, they are part of the conference and it's a very unique place because you have like a place in the Silicon Valley these days, you have a lot of conferences around technology and that is fine, I mean we talk about the Oracle World or the Google IO or the Facebook Development Conference or everybody trying to push their technology, but there is a not a lot of conferences out there that where you talk about digital transformation, how to use those technologies to make that special journey, successful digital journeys for your customers. So the center of what we did last week was that and I think it was very successful because of that. So conversations with our customers are quite interesting at that event, so I think the overall impression is very, very positive.
Arvind Ramnani: Great and just last question for me kind of when I have been speaking to clients of yours as well as other kind of seeing these CTOs kind of my research is suggesting that these digital projects are becoming a lot more transformative, a lot more strategic and therefore much bigger in terms of kind of the scope and the opportunity compared to what digital projects or maybe like 18 months ago or two or three or the good scope certainly increased. Are you all seeing some of that as well where kind of digital has become not just kind of a one-off project, but people are thinking about it in a much more comprehensive way and therefore the project sizes have been increasing as well?
Martin Migoya: Yes absolutely. The project size are increasing, the pipeline as I said is increasing, the period and the terms, what is going on is that in general we have got customers come to us with a white paper saying we have this idea, we need this transformation and we need to help them across the whole experience of the digital transformation, so that is yielding by loss, it is yielding longer term proposals, bigger themes and bigger executions that are needed. So that's the kind of change we are seeing from I would say two years ago, two years ago, two years ago maybe projects were more natural or something of course there were always central projects like what we have with Disney or with other customers. But we're seeing now a much broader acknowledgement that they need to go and do some big transformation on those companies and we're the players to help them, so this is what's going on.
Operator: Thank you. Ladies and gentlemen, this concludes our question-and-answer session. I would like to turn the conference back over to Martin Migoya for any closing remarks.
Martin Migoya: Okay, guys thank you very much for your time and as always any doubt, you have please contact us, we are always happy to answer your questions. Thank you, thank you, thank you.
Operator: Thank you, sir. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.